Operator: "
Mohammad Abu-Ghazaleh: "
Monica Vicente: "
Christine Cannella: "
Mitchell Pinheiro: " Sturdivant & Co., Inc., Research Division
Operator: Good day, everyone, and welcome to Fresh Del Monte Produce's Third Quarter 2025 Earnings Conference Call. Today's conference call is being broadcast live over the Internet and is also being recorded for playback purposes. [Operator Instructions] For opening remarks and introductions, I would like to turn today's call over to the Vice President, Investor Relations with Fresh Del Monte Produce, Ms. Christine Cannella. Please go ahead, Ms. Cannella.
Christine Cannella: Thank you, Regina. Good day, everyone, and thank you for joining our third quarter 2025 conference call. Joining me in today's discussion are Mr. Mohammed Abu-Ghazaleh, Chairman and Chief Executive Officer; and Ms. Monica Vicente, Senior Vice President and Chief Financial Officer. I hope that you have had a chance to review the press release that was issued earlier via Business Wire. You may also visit the company's IR website at investorrelations.freshdelmonte.com to access today's earnings materials and to register for future distribution. This conference call is being webcast live on our website and will be available for replay after this call. Please note that our press release and our call today include non-GAAP measures. Reconciliations of these non-GAAP financial measures are set forth in the press release and earnings presentation, which is available on our website. I would like to remind you that much of the information we will be speaking to today, including the answers we give in response to your questions, may include forward-looking statements within the safe harbor provisions of the federal securities laws. In today's press release and in our SEC filings, we detail risks that may cause our future results to differ materially from these forward-looking statements. Our statements are as of today, October 29, 2025, and we have no obligation to update any forward-looking statements we may make. During the call, we will provide a business update along with an overview of our third quarter 2025 financial results, followed by a question-and-answer session. With that, I will turn today's call over to Mr. Mohammed Abu-Ghazaleh. Please go ahead.
Mohammad Abu-Ghazaleh: Thank you, Christine, and thank you for joining us for our third quarter 2025 earnings call. We delivered another quarter of steady progress supported by strong execution across our portfolio. We saw continued gross margin expansion in our fresh and value-added product segment, and our pineapple program continues to perform well. Overall, our third quarter results affect our ongoing shift towards higher-margin value-added categories, a key driver of profitable growth. We also took important steps this quarter to enhance long-term productivity and strengthen our financial performance. Most notably, we entered into an agreement to divest the operations of Mann Packing, a business that has not met our profitability expectations. We believe this divestiture will strengthen our overall margin profile and enhance capital efficiency going forward. While these decisions are never easy, they underscore our disciplined approach to managing performance and ensuring that every part of our business contributes meaningfully to our bottom line. I would like to discuss a challenge facing the entire industry, the mounting pressure on global banana production, which I addressed last quarter and has since then only intensified. [Indiscernible] Tropical Race 4, which is known as TR4, was confirmed in Ecuador, one of the world's largest banana producers, making a serious escalation in Latin America after previous detections in Colombia, Peru and Venezuela. It is a highly contagious soil ball disease with no cure, and it's already destabilizing the region. In Peru, where TR4 was first detected in 2021, the impact is noticeable in the Pura region, the country's leading producer of organic bananas. A recent study found that 45% of farms are already infected and about 10% have been completely eradicated. Small growers are under mounting pressure as black sigatoka spreads and TR4 reaches new countries. With already thin margins across the sector, rising disease control costs are making survival increasingly difficult. At Fresh Del Monte, we have been preparing for these challenges for years. We are advancing work on TR4-resistant banana varieties, an essential step toward long-term resilience, but solutions of that scale take time. In the meantime, growers, large and small, are taking every possible measure to control these diseases. Each year, these efforts are becoming more demanding as the situation further deteriorates, placing new financial strains on growers across the industry. We are seeing the impact clearly in Costa Rica. As of August 25, production in the industry has declined 22% year-over-year, which is roughly 18 million boxes lost with most of that loss stemming directly from Black Sigatoka. For a country long recognized for its agricultural efficiency, that's a significant and concerning decline, one that inevitably drives costs higher across the industry. Demand for bananas remains strong. What's shifting is the balance between supply and demand and the underlying economics of the category. Understanding that shift is essential for everyone involved. Sustaining this category over the long term would require closer alignment across the value chain, ensuring that pressures in the fields are understood and shared throughout the supply chain. The farmer can no longer absorb these rising costs. It is easy to take the bananas for granted. Simple, familiar, always there. But behind that simplicity lies one of agriculture's most coordinated and collaborative supply chains. Protecting it is our shared responsibility. And if we don't act collectively to support growers and stabilize this supply chain, we risk seeing this fruit and the livelihoods behind it disappear before our eyes. That reality weighs heavily on me and drives much of our focus today. With that, I will turn it over to Monica Vicente, our CFO, to discuss our financial results.
Monica Vicente: Thank you, Mr. Abu-Ghazaleh, and good morning to everyone, and thank you for joining us today. Before reviewing our quarterly financials, I'd like to highlight several strategic actions we took during the quarter to strengthen our portfolio and drive long-term value. We took important decisions to streamline operations and reallocate capital towards higher-performing areas, which resulted in an impairment charge totaling $56 million. $18 million relates to the planned divestiture of Mann Packing, which Mr. Abu-Ghazaleh already mentioned. This supports our strategy to simplify operations and prioritize higher growth, higher-margin categories. We acquired Mann Packing in 2018 and have now entered into an agreement to sell the business, including substantially all operating assets. The buyer, Church Brothers Farms, will acquire machinery and equipment and customer list for $19 million plus the value of inventory at closing. The transaction excludes certain real property, including our Gonzales, California facility, which we've agreed to lease for under a 5-year agreement with a renewal and purchase options. This divestiture is expected to close during the fourth quarter of 2025, subject to customary closing conditions. Mann Packing contributed $174 million in net sales during the first 9 months, but was a headwind to our strategic margin targets for the fresh and value-added products segment. We had previously pursued streamlining efforts. However, after further evaluation, we determined that a full divestiture better aligns with our long-term strategy. During the quarter, we also recorded $37 million in impairment and other charges related to underperforming banana farms in the Philippines, which served our Asia and Middle East markets. Despite efforts to improve yields and manage costs, the farms continue to underperform, impacting profitability. After reassessing performance, we made the decision to abandon operations at these farms. This move enables us to reallocate resources to more productive supply channels. Continuing with our broader efficiency efforts, we sold a break bulk shipping vessel from our fleet during the quarter and recently completed the sale of a second vessel. This reflects our continued shift away from legacy breakbulk vessels, and we remain committed to our vertically integrated logistics model and operate 6 modern vessels supporting our global supply chain. Let's now review our financial results for the third quarter of 2025, including adjusted results, which exclude the impact of the Mann Packing divestiture. As Christine mentioned, reconciliations are available in today's press release and earnings presentation in our website. Net sales were $1.02billion-- $1.022 billion. The increase reflects higher net sales in our Banana and Other Product Services segments, primarily driven by higher per unit selling prices in our Banana segment. Contributing factors included the impact of tariff-related price adjustments in North America and the favorable impact of fluctuations in exchange rates related to the euro. The increase was partially offset by lower sales volume in our fresh-cut vegetable product line due to operational reductions taken during the fourth quarter of 2024. Adjusted net sales were $960 million. Gross profit was $81 million. The decrease was primarily driven by higher per unit production and procurement costs in the banana segment, along with increased distribution costs. Gross margin decreased to 7.9%. Adjusted gross profit was $88 million and adjusted gross margin decreased to 9.2% -- despite margin compression, this quarter reflects the resilience of our core business strength and early progress from our shift toward higher-margin value-added categories. We expect margin recovery and improved efficiency ahead, supported by the Mann Packing divestiture and continued cost discipline. We reported an operating loss of $22 million, which reflects higher asset impairment and exit charges related to the underperforming banana farms in the Philippines and the impairment charges associated with divestiture of Mann Packing, along with lower gross profit in the current period. On an adjusted basis, operating income was $40 million. Net loss attributable to Fresh Del Monte was $29 million, while on an adjusted basis, net income attributed to Fresh Del Monte was $33 million. Our diluted earnings per share was a loss of $0.61 and adjusted diluted earnings per share was income of $0.69. Adjusted EBITDA was $58 million. We expect adjusted EBITDA margin to improve due to continued gross margin momentum in our fresh and value-added products segment and disciplined cost management. Let's take a closer look at the financial performance of our business segments, starting with our fresh and value-added products segment. Net sales were $611 million. The decrease was primarily due to lower per unit selling prices in our avocado product line, driven by increased industry supply and lower net sales in our fresh-cut vegetable product line following the operational reductions implemented during the fourth quarter of 2024 previously mentioned. Offsetting factors included higher sales volume and per unit selling prices in our fresh-cut fruit product line and increased per unit selling prices in our pineapple product line, along with tariff-related price adjustments in North America. Adjusted net sales were $548 million. Gross profit was $68 million. The increase was driven by higher per unit selling prices in the pineapple and fresh-cut fruit product lines. Gross margin increased to 11.2% and adjusted gross profit was $76 million with adjusted gross margin increased to 13.9%. We aim to sustain gross margins in the low to mid-teens for this segment, driven by continued improvements in our product mix within this segment. Now moving to the banana reporting segment. Net sales were $358 million. The increase was driven by higher per unit selling prices across all regions, including the favorable impact of fluctuations in exchange rates, combined with the tariff-related price adjustments in North America and higher sales volume in the Middle East. These gains were partially offset by lower sales volume in Asia and North America, reflecting softness in market demand during the quarter. Gross profit was $5 million, and the decrease was driven by higher per unit production and procurement costs due to adverse weather conditions in our growing regions in the first half of this year, increased distribution costs, along with an allowance recorded on our receivable from an independent grower in Asia. Gross margin decreased to 1.3%. Adjusted gross profit was $4 million, and adjusted gross margin decreased to 1.2%. Lastly, our Other Products and Services segment. Net sales were $53 million. The increase was a result of higher net sales in our third-party freight services business, partially offset by lower per unit selling prices in our poultry and meats business. Gross profit was $8 million. The decrease was due to lower net sales and higher production costs in our poultry and meats business. Gross margin decreased to 14.8%. Now moving to selected financial results for the third quarter of 2025. Our income tax provision was $4 million. The decrease was primarily driven by lower earnings in certain higher tax jurisdictions. Net cash provided by operating activities was $234 million for the first 9 months. The increase was primarily due to working capital fluctuations, mainly lower accounts receivable driven by timing of collections and reduced finished goods inventory. At the end of the third quarter of 2025, our long-term debt stood at $173 million. Our adjusted leverage ratio remains well below 1x EBITDA. Capital expenditures for the first 9 months of 2025 totaled $36 million. Investments during the quarter focused on enhancing our banana and pineapple operations in Central America, upgrading operations and production facilities in North America, along with improving our pineapple operation in Kenya. As announced in our press release, we declared a quarterly cash dividend of $0.30 per share payable on December 5, 2025, to shareholders of record as of November 12, 2025. On an annualized basis, this equates to $1.20 per share, representing a dividend yield of 3.4% based on our current share price. During the third quarter, we repurchased just over 200,000 shares of our common stock for $7 million at an average price of $35.55 per share. We still have $135 million available under our share repurchase program. Taken together, these actions reflect our commitment to delivering long-term value, supported by a strong sustainable dividend and a balanced capital allocation strategy that includes opportunistic share repurchases. With that, let's turn to the outlook for the remainder of the year and the strategic priorities. We continue to expect net sales growth of approximately 2% year-over-year, consistent with our prior guidance. As far as gross margins by business segment, in our fresh and value-added products segment, excluding the impact of the divestiture of Mann Packing, gross margin is expected to be in the 11% to 13% range, primarily driven by strong performance in our pineapple product line and favorable product mix. While the divestiture of Mann Packing is scheduled to close on December 15, we expect to begin realizing the benefits of the streamlined portfolio in the fourth quarter of 2025 with a more pronounced impact on profitability and margin performance in 2026. In our banana segment, gross margin is expected to compress below the historical 5% to 7% range, approaching 4% due to lower industry-wide supply and cost pressures from disease treatments as well as weather-related disruptions, which continue to cause shipping delays and port congestions. Both factors have significantly increased our costs. It's important to remember that with the banana segment, our focus remains on margin discipline over volume, and we continue to prioritize product quality and reliability for our customers even in the face of these extraordinary challenges. Bananas remain a foundational part of our product portfolio, essential for meeting customer expectations and supporting our broader commercial strategy, even if it's not a driver of growth. For our Products and Services segment, gross margin is expected to be in the range of 10% to 12%, slightly below prior expectations. This reflects lower selling prices in our poultry and meats business, which are pressuring margins. Selling, general and administrative expenses are expected to be in the range of $205 million to $207 million. Regarding CapEx, we now expect our full year spend to be in the range of $60 million to $70 million, down from $70 million to $80 million previously communicated. This reflects updated project time lines. Net cash provided by operating activities is expected to exceed the previously guided range of $180 million to $190 million, coming closer to $190 million to $200 million. In closing, we continue to actively manage external pressures, including elevated operating costs and macroeconomic uncertainty. The strategic actions we've taken this year, streamlining our portfolio, reallocating capital and enhancing supply chain resilience position us to navigate the rest of the year with agility and focus. These actions reflect our commitment to disciplined execution and long-term value creation. This concludes our financial review. We can now turn the call over to Q&A. Regina?
Operator: [Operator Instructions] Our first question will come from the line of Mitch Pinheiro with Sturdivant & Company.
Mitchell Pinheiro: So I want to start out with a look at the fresh and value-added segment. So the adjusted gross margin was kind of eye-opening at 13.9%. And I know you're sort of guiding 11% to 13% as sort of your gross margin expectation. But is -- I guess is 13% the new normal for this business?
Monica Vicente: I think we're getting there, Mitch. I think we'll be getting very close to that margin consistently. So yes, you can see that the adjusted gross margin this quarter was very -- like you said, it's an eye-opening now that we've excluded mann. So we do expect to be very close to the 13%. We're still being cautious. We're doing the 11% to 13%, but we feel confident about this segment.
Mitchell Pinheiro: And so I haven't seen the Q yet, but I'm curious Pineapples, obviously, the supply has been down right now, but you're getting some pricing. Are your costs up in pineapples as well? Like you talked about the bananas and more cost for -- on the -- at the farm level. But is there -- and actually at the port shipping, but are pineapple margins still going to be your strongest of your -- in that segment?
Mohammad Abu-Ghazaleh: Yes, that's a fact. And when it comes to cost, cost, the pineapple, thanks God, doesn't have the same diseases or same kind of plagues that is happening to the bananas. So we don't see increases in terms of applications of certain chemicals to our farms in the pineapple business. So pineapple does not definitely, there is inflation adjusted cost increases, which is normal on the labor side or other services. But all in all, it's a normal kind of environment. So we don't expect significant cost increases on pineapples. And you are right, I mean, the pineapple category is -- volumes are more or less static. And the demand is, in general, outstripping supply. So as we speak today, we don't have enough to allocate to every customer that we have. So it's more selective today than being in the past.
Mitchell Pinheiro: Yes, I've noticed you were obviously the leader in sort of innovation in pineapples and the marketing around it, but I'm also seeing some of your competitors start to -- like, I guess, do start to try to emulate some new product varieties. And I was wondering if it's essentially raising the value of the fruit with continued innovation and improved quality. Is that -- do you get the sense consumers notice that?
Mohammad Abu-Ghazaleh: Well, yes, of course. I mean we yes, I mean the better -- the better fruit that you deliver to the market, the more ripe, the more higher sugar content, better sweetness or taste definitely have an influence on the consumption and the buyer kind of appetite to buy it. I mean there is no question that -- I think as Del Monte, we have been pioneer at the forefront of innovation and development. And I wish everybody else good luck with whatever they are doing. But I mean, Del Monte has a history of being the forefront into this. And I think that will remain in place.
Mitchell Pinheiro: And you still see from a supply point of view, when -- what's your best estimate for when you start to see demand supply recover?
Mohammad Abu-Ghazaleh: I don't think that supply is going to -- as we go forward years ahead, there is not too much land left. I mean, in Costa Rica, we cannot double production, for instance. It's impossible or let's say, 20% or 30% more than what is happening right now. And Costa Rica is the major producing country in all Latin America. So -- and it's not easy to grow pineapples anywhere you want. Land is restricted. Environment as well concerns are part of this restrictions on additional acreage or additional production. So I believe consumption on a global level is going to increase. And we see that actually not only in North America, but we see that in Europe. We see that in the Middle East. We see that in Asia. It's a growing, let's say, commodity. It's becoming more fashionable for people to eat more pineapples and especially because of the good quality of these pineapples today. So I can tell you, the Middle East, we are almost 100% -- almost 100% in the market. I mean -- and because of our proximity from Kenya into these markets, -- our Brazilian plantations are in progress right now. And what, 3 years from now, we will start having production out of Brazil, which will be the only company anywhere in the world that has production of ND2 gold pineapple in Brazil. So that will kick in. It may take some time, but I think that will be very significant for us going forward in the future. And we are looking at other areas of expanding pineapple as well as we speak. So I mean, in terms of our positioning in the pineapple, I'm very confident and comfortable actually with our pineapple business going forward in the future...
Mitchell Pinheiro: Okay. And then just two more questions on the fresh and value-added. Avocados, I know supply is strong and pricing has been down. Do you see that kind of reversing here in the next 6 months as you see pricing firming, I should say?
Mohammad Abu-Ghazaleh: It could happen because actually, with Peru increasing volumes, with Colombia increasing volumes and other countries, Chile and California and the Mexicans did not have that opportunity. I mean if you look at the prices year-over-year, I think that period, we were talking about $70, $60, $70, $80 a box of avocado. -- now it's selling for almost half of that. So you can see the impact on the revenue itself. I mean, as a seller ourselves, of course, that would impact our revenue, selling the same volume for 80 or 70 or 60 rather than selling at 30 or 35, that makes a huge difference. But there could be maybe a pickup during the next 2-3 months because Mexico will be more or less exclusive in one way in terms of supply to North America. But I think it will not be a long-term kind of escalation in prices. I think that prices will remain more or less in the region that we are seeing right now between maybe $30 and $50, but not more.
Monica Vicente: And remember, Mitch, we buy the product from the grower. So we have the margin based on what we buy and sell. So even though the sale price is much lower, our cost is lower as well. So our margins have stayed pretty more or less even from last year. So unfortunately, it impacts our sales, but our margin is not impacted as much.
Mitchell Pinheiro: Yes. And then -- so -- but with pricing coming down, shouldn't that -- would you expect to see stronger volumes consumption?
Mohammad Abu-Ghazaleh: Well, I don't see the prices of the retail to be really reflecting that adjusted.
Monica Vicente: Yes, I'm a big buyer of avocados, and I'm still paying the same...
Mitchell Pinheiro: Okay. And just switching gears to -- I did want to ask about how your fresh-cut fruit business is doing. I didn't see any comments around that.
Monica Vicente: They're doing -- yes, Freshcut is doing excellent as well. Like you know, we view that together with the pineapple as one of the primary products, and it performed very well during the quarter, and we expect to continue with a strong performance.
Mohammad Abu-Ghazaleh: I don't remember if I mentioned earlier last year that we started fresh guacamole offering fresh guacamole in the market. And we started this new category, which is 100% fresh guacamole. And it was like -- we started from 0. And today, I think we will end at the end of this year with about $8 million in revenue on that category alone. So that tells you where our innovation is and where we are going. with reasonably good margins.
Mitchell Pinheiro: Yes. I just want to move on to the banana business. So pretty -- you laid out the issues pretty well from a category. What I was curious about was why banana volume or consumption in North America. I'm not sure what it is in Europe, but why consumption is down. I've asked before, we really don't know, I guess, but I was wondering if you have any recent insights as to banana consumption.
Mohammad Abu-Ghazaleh: Well, it's seasonal, I would believe, Mitch, during the summer with all the summer fruits availability and people usually during the summer would go for more, let's say, like watermelon and melons and grapes and -- so I think it's not a trend. I think it's a hiccup. -- bananas more or less consumption-wise will be stable. I don't believe that we will see a huge drop into banana consumption in terms of consumer appetite. But my -- the problem is that the costs are going up and the prices are not moving in the same direction. So -- and that is the dilemma here. I mean -- and the diseases are not going away. The disease is continuing and spreading and intensifying as a matter of fact. So if you remember a few years back, I said that we will see bananas at $20 a box. We are almost there. I mean, today, if you look at Ecuador, just the fruit alone is around $11 to $12 per box, just the fruit aside from all the other costs of packaging and services. So if you add up everything, you're talking about could be $16, $50, $60, $17 and even more per box. So we are talking about, I mean, substantial increases. And the most important thing, which people do not really focus on is the Sigatoka spread in Central America as well as, as I mentioned earlier, the TR for disease, which it's not if, it's when. It's just a matter of time when it's going to be spreading. And we saw that in the Philippines and the write-off that we took in the Philippines and we saw yesterday, it was because of that. I mean we became -- I mean, the disease has -- no matter what you do, it's like a losing battle against that disease. I mean you can replant and then 3 years later, 4 years later, you lose 3 again. So this is really -- people don't understand and realize how serious this issue is. And this is going to happen, be it tomorrow or after a year or 2 or 3 is going to happen. It's going to come. And I can assure you that, that disease does not stop spreads. It's just a matter of time.
Monica Vicente: And Mitch, you see our margin for the banana suffered this quarter, and we're projecting closer to 4% for the year. The impact of the Sigatoka is very significant, not only because you have lower volume coming out of the ground, but the cost to protect the farms from Sigatoka is very high. So it's very obvious based on our results, the impact of these diseases.
Mitchell Pinheiro: So one thing -- bananas are obviously, I guess, the largest category of fruit, I guess, in the United States and maybe apples -- but certainly hugely important. And with all these added costs and the margins have always been kind of thin, you'd expect pricing to rise, but there's always been some element of irrationality among all the major players and in pricing, maybe you excluded, but my question is, I noticed that the 4 largest banana producers formed a new organization, VANA, you, Dole, Fs and the other one, whatever it a -- and then -- does that -- is this level of cooperation maybe a sign down the road that there's going to be a little more rationality to the quarter in banana pricing relative to the increase in costs and lower supply?
Mohammad Abu-Ghazaleh: I don't think that association or that kind of gathering by the 4 banana companies was mainly to streamline the business better and nothing to do with actually influencing volumes or pricing in the market. It's rather than to understand the business better and trying to find solutions in terms of hopefully, agricultural practices and other logistical issues. But the point here, Mitch, people don't understand and don't get it that all of a sudden, one day, everybody will wake up and all of a sudden, there is not enough bananas to -- and we see that in other countries in the world. I mean, I see that in the Philippines. I saw that in Africa. All of a sudden, over years, the banana production is totally lost and/or 50%, 60% down on the previous -- I mean, on the normal trend. And this is going to happen. I mean, we can see that actually as we speak right now in Ecuador. Ecuador is the largest producer of bananas in the world. And right now, you can see that the production is not picking up as it used to be. And that's an indication of what's going on in the industry. And people don't understand that. I've been all my life in this business. And I know and I can anticipate things. And I believe that there will come a time that there will be a huge drop in production. And as you can see, as a company ourselves, we are very careful. We are very stringent, and we are very -- we calculate our steps. I mean we're not here to lose money. I mean we are here to make money to our shareholders. And we will do whatever is necessary to streamline our business in the best way we can, be it on bananas or any other item. And I think for bananas, in particular, there will come a time that people realize that there is not enough bananas in the market and the prices will shoot up in a way that will be a shock to the market. And that's the reality that if people really take this into consideration, it's better to really improve conditions for the growing side of bananas and supply side in order to maintain stability and continuity. But it's a short term, in my opinion, short-term vision and short-term kind of strategy that is happening right now. It's just like Monica mentioned a few minutes ago, I mean, the chemical that we apply to Sigatoka, which is the black -- it turns the leaves into totally black and then we lose the bunches on the 3 the price of this product, the chemical, which is the only one in the world, you don't have a choice. You only have one product that you need to use. And that product has increased over the last 2 years by over 50%, 40%, 50% and still going up and you have no choice, either you spray and the problem that the disease is getting immunity. I mean, that disease, is becoming adapting to that chemical. So you need to apply more to try to prevent it or control it. It's a vicious circle. If you don't apply or if you don't apply enough, you will lose more fruit. But if you're going to apply more cycles into the field, that means more cost to you. So it's really -- I mean, if you look at our cost, it's about $1.30, $1.40 today per box just for this chemical alone applications. So I think that's the reality of the situation.
Mitchell Pinheiro: So one of the questions is about the Black Sigatoka. -- is one other mitigation effort can be fewer trees, more -- less canopy, more sunlight.
Mohammad Abu-Ghazaleh: That is exactly what I said earlier, 18 million boxes down in Costa Rica production on a national level. That's mainly because of Sigatoka. It's not because of anything else, mainly because of Sicatoga. So if this happens in Ecuador, if this happens in Guatemala, if this happens in Panama, it's the same story.
Mitchell Pinheiro: Okay. And then just one other question in tariffs. across your entire portfolio, how much did tariffs add to the top line?
Monica Vicente: We haven't given that number, Mitch, but we were able to pass on the tariffs in North America, but we haven't given the number.
Mohammad Abu-Ghazaleh: It's really minimal. It's not much. It's minimal.
Operator: [Operator Instructions] And that will conclude our question-and-answer session. I will now turn the call back over to Mr. Abu Ghazaleh for closing remarks.
Mohammad Abu-Ghazaleh: Thank you, everyone. I appreciate joining us today and hope to talk to you in the next call. Have a good day.
Operator: That will conclude today's call. Thank you all for joining. You may now disconnect.